Operator: Good day, ladies and gentlemen, and welcome to the Allegiant Travel Company’s Third Quarter 2014 Financial Results Conference Call. We have on the call today, Maury Gallagher, the company’s Chairman and Chief Executive Officer; Scott Sheldon, the company’s Chief Financial Officer; Jude Bricker, the company’s Senior Vice President of Planning; and Kris Bauer, Interim Chief Operating Officer. Maury Gallagher will provide us with brief comments and then we will begin the question-and-answer session. First, we wish to remind listeners that the company’s comments today will contain forward-looking statements that are only predictions and involve risks and uncertainties. Forward-looking statements made today may include among others references to future performance and any comments about our strategic plans. There are many risk factors that could prevent us from achieving our goals and cause underlying assumptions of these forward-looking statements and our actual results could differ materially from those expressed in or implied by our forward-looking statements. These risk factors and other are more fully discussed in our filings with the Securities and Exchange Commission. Any forward-looking statements are based on information available to us, and we undertake no obligation to update publicly any forward-looking statements, whether as a result of future events, new information or otherwise. The company cautions users of this presentation, not to place undue reliance on forward-looking statements, which may be based on assumptions and events that do not materialize. The earnings releases, as well as the rebroadcast of the call are available at the company’s Investor Relations site, ir.allegiantair.com. At this time, I will now turn the conference over to Maury Gallagher. Please proceed.
Maurice Gallagher: Thank you, operator, and good afternoon, everyone. Thank you for joining us on our call today. This is the first call on many years without my partner Andrew Levy here to speak to you as well. He was integral on the consumption growth of what is today’s Allegiant Travel Company. From our very first days in early 2001 when we began working on the plan to take the company out of its then Chapter 11 proceedings, he was there and instrumental in everything we did. During the ensuing years as we have developed the model you know today, Andrew was a driver of that strategy, and he moved out to position us as the low fare, low cost leisure company – focused company that we have developed into. But all good things must come to an end unfortunately, and after 13 years Andrew was interested in looking for other opportunities. But as I said in the release, he had done his job. He has left us tremendous legacy. The ultimate job and compliment for that matter for a senior manager is to leave their organization in good hands, to a developed management and personnel capable of running the organization when they are not there.
 : Operator, we’ll take questions at this point.
Operator: (Operator Instructions) And our first question will come from the line of Hunter Keay with Wolfe Research. Please proceed.
Hunter Keay – Wolfe Research LLC: Hey guys, how are you doing?
Maurice Gallagher: Hello, Hunter.
Hunter Keay – Wolfe Research LLC: Hey, can you give us a – just a couple of questions here. Can you give us some thoughts on how you’re thinking about 2015 capacity? I know you just updated the first quarter capacity guide a flat up 4% and little lighter. And some people are thinking, is that just a function of turning some of the 757 into more seasonal flying. Should we expect a pretty big ramp up in the backend of double-digit sort of territory, and get back into the second and third quarters and beyond?
Jude Bricker: Yes, this is Jude. Hi, Hunter.
Hunter Keay – Wolfe Research LLC: Hi, Jude.
Jude Bricker: We’re taking on two A320s and three A319s between now and around the end of the first quarter of 2015. So those airplanes being used in there and services dates, the exact in service dates, so say with those aircrafts being a little bit uncertain will be under-utilized for the first quarter. Further, we’re facing a continued constraints related to pilot availability which will restrict our March capacity, so first quarter growth won’t be represented for the rest of the year, yes.
Hunter Keay – Wolfe Research LLC:
 :
Maurice Gallagher: I'll make some comments, Hunter, and I think some other guys have more detail. But the theme that we've always done and we have proven over and again is that, consumers will follow their wallet in their pocketbooks. And to the extent you want to create behavior – our change behavior you can charge and plan for. We did it with baggage back in the early 2000s seat assignments, onboard drinks, you name it. And so to your point, though, we are trying to lessen our footprint if you can at airports, candidly some of the most expensive space in the entire country, maybe even the world is inside of a traditional airport, particularly in the bigger cities, square foot price is just off the chart. So to the extent, you can push activities to the consumer and away from the airport, those are pluses, such that the consumer comes right to offset the gate, and we deal with them at that point is our goal. This exercise, we saw, I think a pretty big shift literally in the first week we did it. We advertised and we pushed the efforts that we were going to do. I think, we are charging $5 a pass, but Kris, what did we see in the stations ever?
Kris Bauer: Yes, we've already seen a dramatic shift in the number of people that are checking in, either on the web or on the mobile, which is, in fact, what we want them to do.
Maurice Gallagher: And our mobile app Scott? Scott Allard is here. Our downloads – this requires a mobile app to do a lot of this work. We are seeing a big move as we get people taking our app and put it on their personal phones.
Scott Allard: Yes, we've seen in excess of 5,000 downloads a day and I think about 1 million folks have downloaded it in total, so we get a lot of usage on the Android and Apple, both.
Maurice Gallagher: Long-term that plays into our ability to talk to about other things other than boarding passes.
Operator: (Operator Instructions) And our next question comes from the line of Savi Syth with Raymond James. Please proceed.
Savanthi Syth – Raymond James & Associates, Inc.: Hey, guys, Savi here.
Maurice Gallagher: Hi, Savi.
Savanthi Syth – Raymond James & Associates, Inc.: A bit of a criticism I have is for being an ultra-low-cost airline, your costs are going up, even if I exclude kind of the vesting of the stock options, and even kind of taking to account [Technical Difficulty] that you are gaining. I mean, the cost increases year-over-year are considerable, probably the worst performance here in 2014 amongst the U.S. airlines and even in 2013, it wasn't a great performance. So just curious as to kind of how you are thinking about going forward, what's driving this, and what can be done to rein in the cost inflation?
Scott Sheldon: Yes, this is Scott. A couple of comments and I'm sure the first will jump in. Yes, 2014 is definitely been a difficult year. Hopefully, you are taking in consideration, the unique costs surrounding the restraint pilot capacity. Obviously, there is a lot of subservices here, definitely a lot in crew productivity, which is really driving really expensive wages as we lose productivity within our Group. My rough math has the number approximately $25 million in kind of crew shortage related expenses for the year. You also have to consider, there is a roughly $2 – $2.7 million, $2.8 million in depreciation expense related to non-ASM producing assets that transaction which was the goal transaction back in the second quarter is – was a great deal, it’s very accretive to earnings.
 :
Maurice Gallagher: That’s obvious, this is Maury. These are conscious decisions in a number of cases we've made. So I'm not, we are doing some off airline stuff that Google is related to Travel, we call our skunk works. And those expenses are flowing through as well. And the crew issue is double sided, it not only affects your utilization, which keeps your unit cost down, but it – then it has a factor, where we've got a lot of product of crew members as we're trying to catch up in the training. This is literally still a hangover from 2013 and issues with FAA resources and the ability to keep us current on some of our training personnel from their side of the house. So then my experience you get behind on crew issues, catching up particularly if you are growing and we are adding airplanes here, it’s tough to make that up. But your point is taken, we are aware of that and our theme to our personnel, our only true asset is our cost structure long-term and we are very mindful of that.
Operator: Our next question comes from the line of Duane Pfennigwerth with Evercore. Please proceed.
Duane Pfennigwerth – Evercore Partners: Hey, guys, good afternoon. Just on pilot availability, I wonder if you could provide some detail there, is it a function of it, you can't get the right sort of – is it pipeline, you can't get the right qualifications, is it your offering, is it training lead-times. I wonder if you could just add some detail to, why it’s taken longer to get pilots and how you fix that.
Maurice Gallagher: First, let me clarify. We have no issue or problem getting good solid pilots. Our attrition is not up dramatically. You are seeing a lot of comments in the press, particularly at the regional level about pilots moving upwards. And I think there will be pressure for that. But we are still attracting the high quality pilots. It’s pure and simple. We had a period of time in late 2013 earlier this year when we literally couldn’t train anybody. And that conflicted obviously with airplanes coming on Duane. And we're making up for that now. As an example, our crew member productivity has come down noticeably from that – down from as much as 80%, 83% down into the 60%. We are hiring probably two to three times the number of crews we've hired in any past year to catch up, because we stop hiring as well, when we got stuck with the training effort. So we have a bubble if you will be running through the system right now that we hope to have cleared by midyear next year at the latest, but not sooner. But at that point we will be back on, if you will, ability to anticipate training rather than reacting to training, and that’s the way all airlines need to run. They know their airplanes are coming. They have to be above that and do all the work to get ready for. We are catching up at this point, but we'll mange through it.
Duane Pfennigwerth – Evercore Partners: Okay, thanks for that Maury. I had one follow-up just on the status of your search, are you looking both internally and externally and can you comment, is Kris definitely an interim or should be he be considered by investors as a candidate for the job as well? And thanks for taking the questions.
Maurice Gallagher: Sure, Kris.
Kris Bauer: I'm an interim candidate, we are looking both inside and outside. But the plan at this point is, I'm here on the interim basis thrilled to be back and helping the team out. It’s great to see the old gang, but it is the interim position.
Maurice Gallagher: He has retired, to hear him say it, and he is happy about that, we aren’t, but here is.
Operator: And our next question comes from the line of Helane Becker with Cowen. Please proceed.
Helane Becker – Cowen Securities: Thanks very much for the time. Just I think you mentioned in the press release that Cincinnati was one of your fastest growing markets. Can you just kind of talk about what you think that can grow into and what your goals for that are and how that compares to Punta Gorda?
Jude Bricker: Hi, Helane, it’s Jude.
Helane Becker – Cowen Securities: Hello.
Jude Bricker: Hello, can you hear me?
Helane Becker – Cowen Securities: Yes. Now I can, thank you. It wasn't supposed to be a trick question.
Jude Bricker: Cincinnati is nothing like Punta Gorda. Punta Gorda is a definition market for us and therefore a scalability with much greater, because we already had a lot of markets on the East Coast that we could connect to Punta Gorda and grow very rapidly. So, Cincinnati is a source market and should be compared to places like Allentown, and Harrisburg, and Niagara, and the likes. So when we say it’s growing as fast as many market we had. We launched a lot of market into – as destination markets from Cincinnati. Thus far performance is very good. But we’re not ready to commit any future goals on Cincinnati. We like to market the markets – destinations from Cincinnati that we’ve launched thus far performing nicely. But some of them we haven’t yet even operated. So we’re not ready to make any commitments on Cincinnati today.
Helane Becker – Cowen Securities: Okay, as a follow-up, can you just say how the market is – how your acceptance is maybe load factor for those markets relative to the system average?
Jude Bricker: Our load factor is very consistent across all markets. I don’t think that would give anything away. In the Cincinnati flights or booking it’s very difficult to compare bookings, because for example, when we launch a market and only have it for sale towards the end of the year and beginning in the first quarter, all the bookings are concentrated on the first couple of flights. But load factors are consistent with network, there’s no detriment necessarily. The low factor is only one input go into the revenue on the market. Like I said, all I’m really going to say at this point is that, we’re happy with the performance of Cincinnati thus far, and we’ll wait and see how markets perform when we have a longer operating history there.
Operator: And our next question comes from the line of Michael Linenberg with Deutsche Bank. Please proceed.
Michael Linenberg – Deutsche Bank: 
,:
Maurice Gallagher: Yes, I’ll let Jude comment on that…
Jude Bricker:
 :
Michael Linenberg – Deutsche Bank: Okay, great. And then just a quick second one here, and Jude, probably this is – you can probably answer this one. Going back to Helane’s question on Cincinnati mean a lot of us are obviously watching that one closely, because you’re ramping up and later this week or early next week you’re going to see Frontier, I think, they are going to come into three or four markets that you’re moving into. And to see to ultra-low cost carrier or one low cost carrier and an ultra-low cost carrier going head to head. To hear what you said about the market, maybe how it’s ramping up, it would seem that the take-away is that – this is a market, where there’s room for two carriers largely because of the amount of capacity that Delta has pulled out of the marketplace. I mean is that a fair assessment? Is that the way we should be thinking about it at this early stage?
Jude Bricker:
 :
 :
Operator: And our next question comes from the line of Joe DeNardi with Stifel. Please proceed.
Joe DeNardi – Stifel, Nicolaus & Co., Inc.: Hey, good afternoon.
Maurice Gallagher: Hi, Joe.
Joe DeNardi – Stifel, Nicolaus & Co., Inc.: Maury or maybe Scott, I guess, I look at Allegiant stock it’s clearly underperformed other airlines here. Now, you guys have a bigger buyback. I am just wondering how you plan on using that, if you plan to be more aggressive with it. Just any thoughts around that and is that an addition to a special dividend or in lieu of?
Maurice Gallagher: Thanks for the question Joe. We are very bullish on our stock long-term. I witnessed – how many shares we buy this, some 1.1 million or something in the last, this 12 months period?
Scott Sheldon: 1.2 million.
Maurice Gallagher:
, : The board is very supportive of using our capital to maintain that approach to, just capital allocation to consumers or to our stockholders rather. As far as the special dividend, we’ve done it three years I think and the board will probably take it up later this year, if we’re going to do it historically. At least last year we think we did in late December for a January payout just manage personal tax affairs and things like that. So nothing to report there but we think this approach cash flow wise and we’re doing $300 million of EBITDA this year, numbers are up in spite of all these comments about costs which we were sensitive too. And we see better things in the years to come, so it’s a good program for us so far and we’ll continue it.
Joe DeNardi – Stifel, Nicolaus & Co., Inc.: Okay, thanks, Maury. And Scott, I am wondering if you could put a finer point around the kind of the cost trends next year. I mean, first quarter doesn’t look like it’s going to be great from a cost perspective, because of the capacity outlook and it sounds like some of the labor cost are going to be a pressure through second quarter. So I mean, can you just help try and set expectation for how that looks going through the year? I mean, I can understand once capacity picks up in the back-half it looks – the comp should be pretty good but maybe some color on the first half.
Scott Sheldon: Yes, we should be able to give a little bit more on our Investor Day in a couple of weeks, but I think you hit some of the highlights. Obviously, crew productivity continues to be a drag. I think more importantly if you look at aircraft utilizations going to be down likely in the first quarter, which is going to put cost – or pressure on unit cost. At this point, it’s likely – I don’t want to give numbers on, but it’s likely slightly up in the first quarter. But we’ll provide some more color here in a couple of weeks.
Operator: And our next question comes from the line of John Godyn with Morgan Stanley. Please proceed.
John Godyn – Morgan Stanley & Co. LLC: Hey, thank you for taking my question. Maury, not to dwell on Andrew’s departure too much and I understand you have your Investor Day coming up. But I am just curious, I mean, the question on people’s minds whenever you see a key executive leave is, what was that person spearheading and has anything been sort of obviously now pushed to the right. We have been looking forward to more international flying, how do you guys particularly to Latin America? We have been looking forward to some sort of loyalty credit card type program, other ideas that have been out there kind of on the horizon. I am just curious as it relates to the direct impact of Andrew leaving. Have there – other things that are pushed to the right outside of just kind of Kris helping with the day-to-day operations?
Maurice Gallagher: 
 :
John Godyn – Morgan Stanley & Co. LLC: Great and just a net from the release, the purchase of the 82,000 square foot space near the headquarters, if I remember right, in 2013 I think you guys moved to even larger headquarters. I am just curious kind of what’s going on there with all of the new space?
Scott Sheldon: Yes, this is Scott. Yes, the transaction in 2013, we purchased approximately 130,000 feet on the West side of Los Vegas. In general there is not a lot of growth opportunities in near proximity to the headquarters that we just purchased. That being said, there was a series of five buildings, which was pretty much last remaining sizable space of any kind. I think we transacted on this at a very compelling rate. But essentially it gives us growth opportunities for many, many, many years to come. So it’s just planning for the future, at this point there’s not any immediate need for the use of space but we’re going to have it in the future.
Operator: And our next question comes from the line of Fred Lowrance with Avondale Partners. Please proceed.
Fred Lowrance – Avondale Partners: All right, thank you. Just a question on Hawaii, I recognize it’s a small part of your business, but obviously, that’s pretty high profile. And as I look at your schedule going out, we’re down to just Honolulu service from LA and Las Vegas, at least for the next couple of quarters. So I’m wondering if you could comment on what this says about the viability of Hawaii service and frequent Hawaii service from your smaller cities and maybe further along those lines, if this is the new normal sort of this less than daily two city service to Hawaii. What do you need six 757s for? How can you repurpose those or reallocate that capacity? Thanks.
Jude Bricker: This is Jude. So the current Hawaiian network is as you pointed out Honolulu service from LAX and Vegas, year-round and that will be augmented with some small city flying from our West Coast source markets seasonally in the summer time. And that’s producing accessible returns and is stable for the foreseeable future. The six airplanes are required to fly that network clearly, but being a growth airline we have lot of opportunities to deploy those assets. The 757s will be used in D48 to fly to Austin and Cincinnati. And sometimes we deploy them also in Macau and Bellingham. So, the planes are producing for us. We don’t have any changes to the fleet plan as for those six being in our fleet for the foreseeable future and I would expect the Hawaiian network to be stable like it is now also for the foreseeable future. So it’s worth noting that that’s the network most exposed to fuel price changes and therefore with the new fuel price that we’re operating under now, we need to reconsider maybe extending some of our seasonal periods or adding more capacity to those existing market, so Hawaii looks better proportionally to the rest of the network as we adjust to lower fuel price environment.
Fred Lowrance – Avondale Partners: All right, and then just a quick one sort of following up on Cincinnati, maybe taking down a little bit different path. Obviously, that was a unique situation with Delta pulling out. Do you see similar types of opportunities at a place like Memphis with a similar situation going on there? And maybe more broadly as we look at where your growth comes from here, are we still doing the connecting existing dots on the map or are we poised to move into more with international coming, that’s one thing, but are we poised to move into more sort of new market growth than we have been in the past?
Jude Bricker: I don’t think we’re – we’re not willing to comment on future market launches at this moment but I would – I think yes, if Cincinnati is successful then, that type of market, although we’re not really willing to name any specifics could be a model going forward for sure.
Operator: And our next question comes from the line of Stephen O'Hara with Sidoti & Company. Please proceed.
Stephen O'Hara – Sidoti & Company: Hi, good afternoon.
Maurice Gallagher: Hello, Stephen.
Stephen O'Hara – Sidoti & Company: I was hoping you could talk about, basically, I think Hunter touched on it, but I’m not sure if you kind of clarified, what’s the potential growth in ASMs in 2015 and I try to recall back in the 2009 period you guys really ramped up capacity, fuel had dropped significantly and you really took advantage of that. So should we expect something similar to that, if fuel stays where it is? And could you just update us on where the current fuel price is right now?
Maurice Gallagher: Go ahead on the fuel price.
Scott Sheldon: Yeah, we’re paying roughly $2.75, $2.80 a gallon, its current pricing.
Maurice Gallagher: We’ve got a built-in, what’s the schedule of airplanes through the end of…?
Jude Bricker: Airplane growth is 11%, you should expect over time that we would operate at least that much. Also in consideration, there are more efficient airplanes being added to the fleet which in the margin adds viability to off peak days and seasons. So while we’re not ready to give a number right now, we did guide, you know, you see guidance for the first quarter, and I would expect us to finish the year significantly higher than that as we’re able to stabilize line pilot availability in conjunction with the fleet size that we’re operating.
Stephen O'Hara – Sidoti & Company: Okay. And then, I know you guys have talked about being active in the market for aircraft. I mean, should I assume you’re still active in the market today? How does that market look? And then, I’m just curious about the fixed fee bumped up to almost $5 million. That seems pretty high compared to where it’s been recently. I’m just wondering if there is a new agreement or something which is unusually heavy in the quarter.
Jude Bricker: So first on the aircraft, this is Jude again, the – you don’t need to assume it. We are active in the market right now. Yeah, there’s lots of availability for deploying the aircraft. We have strong demand for our product and we’re out there trying to acquire used A320s, 319s to accommodate our growth goals. So yes, we’re very active. I think the model of the gold transaction is interesting and we’re exploring that as well with other carriers. There’s a lot of investors moving into the aircraft space and it is driving prices up and availability down on the margin. But we trade in a very specific type of aircraft, the 12 year old to 14 year old A320, A319, CFM powered. Those planes are out there. We know who owns and operates them and we’re actively trying to acquire them and I don’t think we’ll have any trouble acquiring aircraft to support our growth at the prices we need to keep our low utilization, low cost model going. So the second question about fixed fee flying, I think, we were pretty active in the third quarter related to football charters. I think this third quarter, I hope to be more representative future third quarters, but it is partially byproduct of having last minute availability related to crew training. So yes, I mean, I think – we intend to continue to deploy MD-80 type aircraft into the [Technical Difficulty] surplus capacity which particularly exists in the third quarter.
Operator: And our next question comes from line of Dan McKenzie with Buckingham Research. Please proceed.
Dan McKenzie – The Buckingham Research Group, Inc.: Yeah, hey, good afternoon guys. Couple of questions here, I’m wondering, just tying into the last question. It looks like the CapEx is about $20 million higher for 2015, at least the mid-range of the CapEx outlook is $20 million higher than previously, is that tied to new aircraft or is there are some new investment priorities that you’re looking to make and…? And then, I guess just sort of related to that, if you can just remind us or give us an idea what the gross and Net CapEx would be, what percent of it are you planning to finance and also aircraft versus non-aircraft?
Jude Bricker: Hey, Dan, it’s Jude. I can’t tie that number to what you are referencing. But that number comprised of committed deals today. And as you well know we buy in the spot market, so it’s subject to change as we find deals to transact on. As far as financing of aircraft, we intend to raise capital as we have a use for it. So today, we have 200 encumbered assets – 200 encumbered aircraft plus the new building, which we could certainly raise, let’s call it, $30 million, $40 million between those three financeable assets. And so to the extent we have a use for the proceeds, they were running cash balance of around $450 million. I don’t think there’s any need for us to do any capital raise but the financing opportunities exist in the market at really good rates today and we’ll use that to finance any growth opportunities or purchase opportunities we have for aircrafts in the future.
Operator: And our next question comes from the line of Glenn Engel with Bank of America. Please proceed.
Glenn Engel – Bank of America Merrill Lynch: Good afternoon. A couple of questions, when can you update us on labor negotiations and two on the international side where are we in terms of getting your computers ready and again in general where are we in getting what you need to done to upgrade your technology.
Maurice Gallagher: Thanks, Glenn. The labor negotiations continue we’re in remediation with both our pilots and flight attendants. Our dispatchers believe on our remediation at this point. So they’re moving along a slow process. It always is for the first contracts. So, we’ll hopefully have something done here in the not too distant future, but we have to get together with our groups and make sure we have good deals for the company and obviously, they’re going to push for their issues. But they’re moving according to what I expected at this point. And then the second issue as far as…
Jude Bricker: Internationally, we are not going to change any guidance we've historically – we’ve recently given, which is the back of 2015.
Glenn Engel – Bank of America Merrill Lynch: Is that a just a choice or is that just the computers will not be ready yet?
Maurice Gallagher: A little bit of both. We have internal issues that we’re working on first before we look to external furthermore candidly if I can keep expanding domestically the simplicity factors of big deal there. So we'll reevaluate. We certainly see opportunity in those places, but we’ve also got places to put airplanes here in the U.S. that, given my druthers, I would do the U.S. first and the International second.
Operator: And our next question comes from the line of David Fintzen with Barclays. Please proceed.
David Fintzen – Barclays Capital Inc.: Hey, good afternoon, everyone. Just a quick question, in the release you mentioned some of the maintenance upticking events in the fourth quarter. Can you kind of talk through that? Is that just the typical timing events or you are moving some things around and forward?
Scott Sheldon: Yes, this is Scott. The full-year guidance, which we gave sometime ago, which is basically 100,000 to 110,000 for aircraft per month is still intact. It’s just a matter of some of the events slipping throughout the year. So first we anticipated, actually the first quarter being the high point and fourth quarter being the low point. But as we progress through the year, some of the events have moved periods. So nothing else really to comment on, but the full-year guidance is still intact.
David Fintzen – Barclays Capital Inc.: Is 2015, is there anything unusual in terms of timing and maintenance events for 2015.
Scott Sheldon:
 :
Maurice Gallagher: David, just a separate number, if you just take out C checks in engines, our airplane costs per month is $65,000, $66,000 this year, and it was $65,000 last year. So the maintenance has been pretty constant just the bumpiness of when C checks fall, and where we are in the C check cycles as well as engine event.
Operator: And our next question is a follow-up question from the line of Hunter Keay with Wolfe Research. Please proceed.
Hunter Keay – Wolfe Research LLC: Hi. I thought I removed myself from the queue, but I guess, what the heck?
Maurice Gallagher: Free shot, big boy.
Hunter Keay – Wolfe Research LLC: Let's see, what can I ask you? All right. Okay, here is one. The PRASM/TRASM gap looks like it widened a little bit in the guide in 4Q relative to where you've been before. Is that a function of weaker demand in the PRASM side, or is it sort of that boarding pass fee that we talked about earlier? I mean, if you could talk about that sort of gap between TRASM and PRASM going into the next year?
Maurice Gallagher: PRASM/TRASM gap…
Hunter Keay – Wolfe Research LLC: Yes.
Maurice Gallagher:
 :
Operator: Our next question is a follow-up question from the line of Michael Linenberg with Deutsche Bank. Please proceed.
Michael Linenberg – Deutsche Bank: Yes, this is just a quick one for Scott. The tax rate this quarter looks like it was a little lower, like 35%. I think in the past, you were closer to 38%. What – maybe that's timing issues or differences. What's going on, and what should we use for the fourth quarter? That's it.
Scott Sheldon:
 :
Operator: And our next question is a follow-up question from the line of Dan McKenzie with Buckingham Research. Please proceed.
Dan McKenzie – The Buckingham Research Group, Inc.: Yes, hey thanks, another one here. I wonder if you guys can talk about, what you're seeing around the holidays at this point. I guess I'm wondering, what is the revenue guidance baking in around the high demand part of the quarter versus any book away from Ebola?
Maurice Gallagher: I think there is a lot in that question, Dan. I mean, the – one thing to understand when you’re looking at the fourth quarter is the relative growth between the three months. So TRASM in December outperforms the other two months, yet, it’s the slowest growing month, and we’ll do October growth and ASM wise in excess of 20%, but the quarterly growth is what we've given guidance here today. So on a relative basis, we are flying proportionally less during the holiday season than in the prior year comp. But bookings look very good, I mean, bookings look strong during the holiday season. Keep in mind that, there is a bit of a shift to day of week, which is pulling things given back in November. So November looks really strong right now. And I think with all the considerations of proportional flying passing on the segment tax and the like, I think, the demand environment is really strong.
Dan McKenzie – The Buckingham Research Group, Inc.: Okay, very good. And I'm wondering if I can just follow up with one more here on labor. What inning are we at in the negotiations? And what kind of contractual increases in 2015 are implied by the 2014 operating margin band? I'm just wondering if you can provide any preliminary perspective on that.
Maurice Gallagher: Are you negotiating for the other side, Dan or? I just certainly not comment on innings and where we were at in that whole process or amounts, I'm not suggesting that, I think, we're making progress and leave it at that. But we certainly are interested in moving forward and getting to a conclusion that makes sense for both of us. So just leave it there.
Operator: And our next question is a follow-up question from the line of David Fintzen with Barclays. Please proceed.
David Fintzen – Barclays Capital Inc.: Hey, thanks for the follow-ups. The – I guess both of these for Jude, the first quarter ASM guidance 0% to 4% how skewed to March, is that presumably, hopefully, it’s much more or so in March than Jan/Feb?
Jude Bricker: ASM growth across the three months in March is fairly constant.
David Fintzen – Barclays Capital Inc.: Okay, okay. And then just on the utilization, I think 3Q you started to do some of the utilization flying. I mean, how and what kind of level of ASMs are we talking about? Is that a couple of points of ASMs? Is that bigger? Just how do – how should we think about what you've been doing in terms of the utilization?
Jude Bricker: You should think that the current utilization through the first quarter is not representative of future utilization. Then the reason being of it, it primarily is around the aircraft inductions that we're bringing in and also secondarily, pilot restrictions on peak periods both of which we talked about. So, I feel fairly confident that we can keep A320 utilization between eight and nine hours a day, and I think, MD-80 and 757 utilization will remain at historic levels, which is around, excluding spare and maintenance aircraft around 5.5 hours a day. I think that’s what we are going to follow over time. So utilization will go up with the induction of future A320s, which will make more viable off-peak flying.
David Fintzen – Barclays Capital Inc.: Okay, thanks, in the weeds, but very helpful.
Operator: And our next question is a follow-up question from the line of Glenn Engel with Bank of America. Please proceed.
Glenn Engel – Bank of America Merrill Lynch: A follow up on the fourth-quarter PRASM, so you have October, which is an off-peak month capacity up over 20%, which – and yet your PRASM really isn't going down very much. And then for the rest of the quarter, over the peak months, your capacity isn't growing that much. I'm surprised why October isn't worse and I'm surprised why the November/December numbers wouldn't be better given the modest capacity growth?
Jude Bricker: So [Technical difficulty] to understand as they went back earlier that Thanksgiving has shifted entirely. The capacity pattern has shifted entirely into the month of November. So November looks good and December on a basis of – in consideration of a shift to Thanksgiving is sort of underperforming on a year-over-year basis. But I think, what you pointed out is that, we are growing the airline, I think, double-digit levels that we reported, which is skewed towards the off peak months and we are maintaining in revenues in spite of the tax pass through and all the other issues we've highlighted. I think, the read from that, which I think you are alluding to is that the demand environment is really good.
Glenn Engel – Bank of America Merrill Lynch: Okay. Thank you.
Operator: And our next question is a follow-up question from the line of Joe DeNardi with Stifel. Please proceed.
Joe DeNardi – Stifel, Nicolaus & Co., Inc.: Hey, thanks. Just one more on the pilot availability issue. It seems like this has been something that’s dragged on a little bit longer than you guys were expecting. I'm just wondering, is everything in place now for this issue to kind of resolve itself by the second quarter of next year or kind of what needs to be done if you guys can continue or resume growing at a more normal rate?
Jude Bricker: Well, I'll make the comment and Kris can comment as well. The assets to deal with this are, if you have the crew members and you have the personnel and simulators available and we have put up some very big numbers for productivity purposes and instructors check airmen, simulators, and last but not least in personnel, we will have hired anywhere from three to four times the annual rate we've done historically in crew members this year to catch up. So not only are we catching up with what we needed, we are going to jump ahead and push those through. So we will be heavy on crew members by the first quarter, second quarter, which will allow us to catch our breath and as well to deal with the anticipated growth and be ahead of it. So, Kris, will illuminate.
Kris Bauer: That’s exactly right. We have greatly increased our bandwidth of the school house if you will to be able to adapt to any kind of future growth. And that’s what you are seeing as it’s just ramping up. And one additional factor that Maury did not mention is, over the – this summer, we can't do a lot of our training, because all those pilots were needed to (inaudible) fly the operation. So really – we really spooled up in the mid-August September timeframe. And given the kind of timeline it takes to get people through the school house first or second quarter, we should be in pretty good shape and in much better shape, because our bandwidth is now so much higher than it has been previously.
Maurice Gallagher: The other thing, Joe, is, we were going to face this issue at some point when you start adding new airplane type, you have layers of training to go through that the single airplane type doesn’t provide you. But the MD-80 is an airplane that long-term will not be here and so we have to move people from that airplane if you will into the Airbus and then you grow to boot. So the cost of training on a unit basis is going to be higher than we have experienced before, but certainly within the expectations we had, because we have to make this transition. But the Airbus itself has been a terrific performer and we're excited to move in that direction.
Operator: This concludes the question and answer portion of our call. I would like to turn the conference back over to Maury Gallagher for any closing comments.
Maurice Gallagher: Thank you all very much. I appreciate your inputs. We will see you in a couple of weeks at the Investor Day hopefully and should you have any further comments follow-up with – questions follow-up with Chris Allen, and we will be glad to respond as well. Thanks again. Talk to you in a bit.
Operator: Thank you for your participation in today's conference. As this concludes the presentation, you may all disconnect. Good day, everyone.